Operator: Good day, ladies and gentlemen and welcome to the Quarter Four 2011 Kadant, Incorporated Earnings Conference Call. My name is Robin, and I will be your operator for today. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session [Operator Instructions].
 I would now like to turn the conference over to Mr. Tom O’Brien, Chief Financial Officer of Kadant. Please proceed. 
Thomas O'Brien: Thank you, operator, and good morning, everyone, and welcome to Kadant’s fourth quarter and full year 2011 earnings call. With me on the call today is Jon Painter, our President and Chief Executive Officer.
 Let me begin by encouraging all of you in our business review today to participate via our webcast. You may access the live webcast by going to www.kadant.com and clicking on the investor’s tab at the top of the page, then clicking the webcast live link at the top of the page. If you are listening to the audio portion by a telephone while watching the webcast there will be a slight delay in the slides.
 For this reason, we recommend watching and listening via the webcast and then dialing in at the end of our prepared remarks to ask questions. The dial-in number is available in our press release issued yesterday. It will also be shown at the end of our presentation.
 Let me now remind everyone of our Safe Harbor statement. Various remarks that we are going to make today about Kadant’s future expectations, plans, and prospects are forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995.
 Our actual results may differ materially from these forward-looking statements as a result of various important factors, including those outlined at the beginning of our slide presentation and those discussed under the heading risk factors in our quarterly report on form 10-Q for the fiscal quarter ended October 1, 2011. Our form 10-Q is on file with the SEC.
 It is also available in the investors section of our website at www.kadant.com under the heading SEC filings. In addition any forward-looking statements we make during this webcast represents our views only as of today. While we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our estimates change and you should not rely on these forward-looking statements as representing our views on any date after today.
 During this webcast we will refer to some non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. The reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is contained in our fourth quarter and full-year earnings press release issued yesterday, which is available in the investors section of our website at www.kadant.com under the heading Investor News. And with that I will turn the call over to Jon Painter who will give you an update on Kadant’s business and future prospects.
 Following Jon’s remarks I will give an overview of our financial results for the quarter and we will then have a Q&A session. Jon? 
Jonathan Painter: Thanks Tom, hello everyone. It’s my pleasure to brief you on our fourth quarter and our full-year results as well as give you our outlook for 2012. Overall we had an outstanding quarter and year. And both the quarter and the year were distinguished by a number of performance records.
 Let me begin with the highlights for the quarter. We finished the fourth quarter with record revenues of $97 million which was up 32% compared to the same period last year. We generated GAAP diluted earnings per share of $0.90 which was also a record for Kadant. On an adjusted basis, our earnings per share increased over 40% to $0.59 which made our GAAP guidance of $0.56 to $0.58 and was also one of the best quarterly performances in our history.
 Our adjusted EBITDA for the fourth quarter was $11.5 million up 32% from the same period last year. Looking at other financial highlights from Q4, our adjusted operating income increased 41% to $9.5 million, Q4 cash flow was $15 million and we ended the quarter with a net cash position of $35 million.
 During the fourth quarter, we repurchased approximately 318,000 shares of our stock for $6.6 million at an average price of $20.89. And finally, I am pleased to report that our efforts to grow our aftermarket business are generating some success with quarterly bookings up 7% over last year and 9% sequentially. We also had record annual performances in 2011 in several categories included adjusted diluted earnings per share which increased 49% to $2.10 on a revenue increase of 24%. We’re particularly proud that we achieved this record on revenues that were $31 million lower than our 2007 peak.
 Our adjusted EBITDA as a percentage of sales was also a record at 13.3% and finally our return on total capital was nearly 14% for the year based on adjusted net income. Taking a closer look at our revenue performance in the fourth quarter, the 32% increase in revenues in Q4 was broad based with all of our product lines except factoring up double-digits over the last year.
 Our two largest product lines Stock Prep and fluid-handling have particularly strong results with revenue increases of 49% and 31% respectively due to largely to increased capital sales. Our water-management product line also had a good quarter with revenues up 40% compared to the same period last year and this increase was driven by both our North America and our European operations.
 Turning to bookings in Q4 we generated $79 million in bookings which was down 21% compared to a very strong Q4 of 2010. The decline in bookings was due entirely to a drop in capital orders as parts of consumables were up for the quarter both sequentially and compared to Q4 of 2010. Looking at the changes by product line, you can see that drop in bookings was largely due to a $25.2 million or 47% drop in Stock Prep bookings. You may recall that Q4 2010 saw record quarterly bookings in China for our Stock Prep line.
 On the other hand bookings for our fluid-handling water-management product line were up. Increases in water-management bookings was led by China which saw Q4 bookings more than tripled the previous year thanks largely to a significant order for Kadant M-Clean Cleaning Systems. The bookings and revenue trend chart on Slide 11 shows our quarterly revenue which is the red line and our bookings which are the blue bars. Our quarterly revenues as you can see have continued to trend upward for the past two years with Q4 having the highest quarterly revenue in our company’s history.
 Bookings on the other hand were down 17% sequentially in Q4 due primarily to lower capital bookings for Stock Prep products. Surprisingly our strongest booking region was Europe which was up 15% compared to the same period last year, due primarily to our Stock Prep and Water Management product lines. But Europe was down 17% sequentially.
 Taking a closer look at our parts and consumables, we can see in slide 11 that both bookings and revenues in Q4 were up in the same period last year. Overall our revenue for parts and consumables was $45 million up approximately 4% from Q4 of last year and made up 46% of our revenues. Because capital may have a large percentage of our sales mix, our Q4 gross margins have some expected downward pressures. Tom will provide the details of our product mix and gross margins in his remarks.
 North America and China had revenue increases in parts and consumables compared to Q4 of last year while Europe revenues are basically flat. Looking at bookings which are shown in the blue bars, our parts and consumable bookings were up 7% over Q4 of last year and 9% sequentially. Particularly encouraging to see this positive trend consume the weaker market conditions in Europe and China that we saw in Q4. For the full year, our parts and consumable bookings were up 9% compared to 2010.
 We have been paying a lot of attention to growing our aftermarket business and I am pleased to see progress in this area. One example of this is our new FiberWall screen cylinder. In Q4, we began production of our FiberWall cylinders in China for global distribution and we recently launched a series of marketing programs to promote the products. The FiberWall screen cylinder is a wedge wire cylinder which is made using a proprietary manufacturing process which allows the cylinder to be built in a round without structural welding.
 Building the cylinder in the round rather than rolling it allows the cylinder to have tight tolerances in its shape or roundness and this allows for precise rotor clearance in the full surface of the cylinder. This allows it to have high efficiency without sacrificing capacity. Clamping the wire mechanically rather than welding it also significantly improves the strength of the cylinder. The result is an extremely strong and very efficient cylinder which is particularly good at removing the bits of glue and other sticky material found in the cycle pipe or pulp rather that the industry fittingly refers to as 'sticky'.
 Paper makers hate these stickies because they cause increased sheet breaks which cause this downtime and also lower the quality of the paper. More importantly high levels of stickies can prevent the mill from reducing the basis weight of the paper. And since the cost of fiber can represent over a 50% of production cost, this can be a very big deal to a paper mill particularly in China which has the highest fiber class in the world.
 We are very excited about the prospects for this important addition to our aftermarket product line. I’d now like to take a few moments to provide a brief review of our business activities in each of the major geographic regions of the world starting with North America.
 The U.S. economy in Q4 continued its modest growth and given a recent slowdown in China and the uncertainty in Europe the U.S. has emerged as one of the stronger regions in the world for us. With that said paper containerboard production dropped 1.8% for the full year of 2011 due in part to inventory building in 2010 which didn’t occur in 2011. As you would expect Printing and Writing led the overall decline down 4% while containerboard remained flat year-over-year.
 Containerboard and tissue producers will make up a substantial portion of our customers remain healthy with operating rates in the mid 90s. Printing and writing operating rates on the other hand were unchanged year-over-year at 86%.
 Our Q4 revenues in North America were $45 million, up 29% compared to the same period last year and up 30% compared to Q3. The strong uptick was due in part to our Stock Prep product line which increased 70% compared to the same period last year. Our Stock Prep revenue benefited from the revenue on the evaporator and with cost of sizing equipment orders that were booked in Q3.
 Bookings in North America were down 2% in Q4 compared to the same period last year and down 32% sequentially. The sequential decline was coming off of very strong bookings level in Q3 that included the major evaporator in our cost of sizing equipment orders I just mentioned as well as the large dryer system rebuilt.
 On a related note, in Q4 we booked another capital order for Kadant’s M-Clean dryer fabric cleaning system for a mill in the Southern U.S. I will say we are encouraged by the progress being made with the introduction of this product to the North American market. We now have over 40 quotes outstanding and we are pleased with the reception the market - the product is receiving in the market.
 Although it’s still early in the quarter, we are off to a pretty good start for Spares and we have some promising project activity as well. In addition major paper producers such as IP in Rockten also recently announced that their capital spending plans will increase in 2012.
 Turning to Europe, the strained market condition in Europe are well known and they certainly impact the paper industry. Industry analysts are forecasting modest contraction for European paper production in 2012. The extent of this contraction will depend on the impact of the sovereign debt situation on the real economy in Europe. Despite this, our business in Europe have performed well with Q4 revenues up 30% compared to the same period last year led by our fluid handling group. I should point out that our European businesses also cover other parts of the world, including the Middle East, India, Southeast Asia and parts of South America.
 As you can see from the chart on slide 15, our European businesses had a relatively strong bookings quarter which was up 15% compared to last year, but booking rates have been declining for the past two quarters as the economy in Europe slows.
 In our stock prep product line, we booked two large OCC systems, one for major paper producer in South Africa and another for a lightweight coated producer in Russia. In our water management product line, we booked in order for Petax Fine Filtration System from a paper group located in Southeast Asia. This sale in fact marks the ninth filtration system sold to this customer over the past few years. I can tell you our technology has been instrumental in the mills efforts to reduce water consumption and lower energy use.
 Bookings for parts and consumables in Europe were up a healthy 8% Q4 last year and 12% sequentially from a relatively weak Q3. However, we have seen weaker parts and consumables bookings as we start the new year reflecting the uncertainty in the European market.
 Finally turning to China, we see relatively weak market conditions as the region continues to deal with new capacity coming online and slowing economic demand both internally and from reduced exports to Europe. Despite this, the economy is expected to grow more than 8% for the next several years and I firmly believe China will continue to be a significant source of growth for Kadant for many years.
 In the past, when the economy slowed, the Chinese government took aggressive steps to stimulate growth. The government is taking similar steps in response to the recent downturn. For example, the People’s Bank of China recently announced that it would cut banks’ reserve requirements to help boost liquidity and support the economy.
 On our side, quarterly revenues from our China operations continue to grow banks and large partners, Stock Prep capital orders that were booked in Q4 of 2010 and Q1 of 2011. Q4 revenues were nearly $19 million which is up 52% from Q4 of 2010. I should note that our revenues in China can be choppy as they are highly influenced by customer requested ship dates and these tend to shift from quarter-to-quarter.
 Our bookings in Q4 were down 64% compared to the record booking set in Q4 of 2010, but they did see a nice rebound from Q3 where we experienced one of our lowest quarterly bookings. Contributing to the rebound was a significant increase in our water management product line up significantly as a result of an order for 20 MultiJet fabric cleaning systems for six paper machines.
 We booked a follow-on order in January with this customer as well for an additional 14 systems for approximately $1.6 million making the combined value of these orders approximately $4 million. The combination of Kadant’s strong market presence and customer relations with ambling strong product offering represented type of synergy we were seeking when we acquired [indiscernible].
 Our Stock Prep bookings also rebounded from a very low level in Q3 due to several orders for OCC systems for containerboard producers. We also continued to make good progress building our spares and consumables business in China with bookings up 55% over Q4 of 2010 and up 13% for the full year. This is particularly encouraging as this has been a major goal of our business in China.
 Bookings for the first six weeks of 2012 have been quite weak but this is due in part to the Chinese lunar New Year which fell in late January. Now that the holiday is over, we do see increased activity for several projects and we do expect bookings to increase as the year progresses.
 I would like to close my remarks with a few comments on our guidance for Q1 and the full year of 2012. For the first quarter we expect to generate $0.41 to $0.43 of diluted earnings per share on revenues of $82 million to $84 million. For the full year we expect to achieve diluted earnings per share of a $1.95 to $2.05 on revenues of $330 million to $340 million.
 Our outlook for 2012 is based on the North American market continuing to move forward on a slow but steady pace as we have seen in Q4. In China where the market conditions have been weaker, we do benefit from a fairly healthy backlog and we do expect conditions to improve as the year goes on. In Europe we have a higher degree of uncertainty but our businesses there do have growth opportunities outside of continental Europe.
 Although 2012 looks to be a more challenging year than 2011 we do enter the year with a healthy backlog and if we meet our guidance it will be another strong year not far behind our record in 2012 which I will say is a pretty high bar.
 I will now pass the call over to Tom for additional details on our financial performance. Tom? 
Thomas O'Brien: Thank you Jon. I will start with a review of our gross margin performance. Consolidated product gross margins were 38.6% in the fourth quarter of 2011 increasing 380 basis points from last year. As you can see on the chart the quarterly gross margin performance was the lowest of the year. It was also the lowest level recorded since the first quarter of 2009. There were notable declines in our fluid handling, Stock Prep and water management product lines. The fluid handling and Stock Prep decreases were largely due to a significant shift in revenues, fluids capital products and away from the higher margin parts and consumables products.
 It illustrates the point on a consolidated basis, parts and consumables were 46% of revenues in the fourth quarter of 2011 compared to 59% in last year’s quarter. This rather substantial change in mix was due not to a decline in parts and consumables revenues which actually grew 4% over the prior year period but rather to a 73% growth in capital revenues over that same period. Capital revenues were particularly high in our Stock Prep product line where a number of larger systems were either shipped or recognized in revenues on the percentage of completion method during the fourth quarter of 2011.
 Looking ahead, we believe the consolidated gross margins will be between 42% and 43% in 2012 slightly below the full year 2011s 43.3%. As in 2011 there is likely to be considerable variability in the 2012 quarterly margins due in part to product mix.
 Now let’s turn to slide 20 and our SG&A expenses. SG&A expenses were $26.3 million in the fourth quarter of 2011 up $3.4 million or 15% from the last year and included $1 million or 4% of operating expenses from M-Clean, which was acquired in the second quarter of 2011.
 We did see a noteworthy improvement in operating leverage in the quarter with SG&A expenses as a percentage of revenues declining from 31.3% a year ago to 27.1% in the fourth quarter of 2011 mainly due to the record high revenues in the 2011 period. Looking at 2012 for the year we expect SG&A expenses to be between 30 and 31% of revenues compared to 31% in 2011.
 Now let’s turn to our EPS results for the quarter on slide 21. We reported record GAAP diluted earnings per share from continuing operations of $0.90 in the fourth quarter of 2011, compared to $0.41 in the fourth quarter of 2010, an improvement of $0.49.
 This increase of $0.49 in diluted EPS consists of the following: Increases of $0.62 associated with the higher volumes in the fourth quarter of 2011 compared to the fourth quarter of 2010; $0.33 from discrete nonrecurring tax items, the most important of which was the release of tax valuation reserves in the U.S. and China, $0.03 from lower shares outstanding and $0.01 from lower net interest expense.
 These increases were probably offset by decreases of $0.21 from a lower gross margin percentage, $0.17 due to higher operating expenses, $0.04 due to a higher recurring effective tax rate, $0.02 due to restructuring expenses and $0.06 arising from the operating results of M-Clean.
 There was no material effect from foreign exchange in the fourth quarter of 2011 compared to last year. The reversal of the tax valuation reserves in the U.S. and China in the fourth quarter of 2011 reflects our judgment that considering our profitability in those tax jurisdictions. Certain tax assets will be fully earned out on future tax returns. As such there is no longer any need to reserve for those assets. Most of the tax reserves which were released to the P&L in the fourth quarter of 2011 were established at the end of 2008.
 Our recurring effective tax rate that is the tax rate excluding the release of the tax reserves and other smaller discrete tax items recorded in the fourth quarter of 2011 was approximately 26% that was in line with our expectations. Looking forward, we believe that our recurring effective tax rate in 2012 will be approximately 29% to 30%, compared to 27% for the full year 2011.
 Now let’s turn to our cash flows, working capital, and debt leverage starting on slide 22. Operating cash flows from continuing operations of $14.9 million represented one of the best quarterly performances in the company’s history and were up 7% compared to a strong quarter last year. Net cash flow performance was a significant achievement especially in light of the record high revenues in the 2011 period and the resulting increased demands on working capital.
 In spite of those increased demands, results for the fourth quarter of 2011 reflected a $1.1 million decrease in working capital including a $7.5 million decrease in inventories. As we’ve noted in past earnings calls we are starting to see the positive effect on cash flows of shipping several large systems orders in China. Cash flows were also strong in the U.S., where we received deposits and progress payments on a number of larger orders.
 For the year operating cash flows from continuing operations were $34.4 million achieving the second highest annual level ever recorded and we are 22% higher than last year’s solid performance of $28.3 million. It’s interesting to note that our cumulative operating cash flows over the past three years have been slightly under $106 million.
 Let’s now return to the quarterly results and look at some of the major non-operating uses of cash during the fourth quarter of 2011. Most notably we’ve purchased $6.6 million of our common stock which consisted of approximately 318,000 shares at an average price per share of $20.89.
 We also paid down debt in the amount of $5.1 million and we purchased $2.6 million of CapEx. We were encouraged with meaningful improvements in two of our key working capital metrics in the fourth quarter of 2011. Days in receivables and days in inventory compared to both the third quarter of 2011 and to the fourth quarter of last year.
 Days in inventory decreased from 111 days from the third quarter of 2011 to 82 days in the fourth quarter of 2011 and also compares favorably to last year’s 90 days. Also days in receivables decreased 58 days in the fourth quarter of 2011 down from 62 days in both the third quarter of 2011 and the fourth quarter of 2010.
 Our 80 days on the other hand was slightly unfavorable, that is lower, than both the third quarter of 2011 and last year. Overall our working capital performance as measured by working capital compared to the last 12 months revenues was 9.9% one of the lowest that is best performances we have ever achieved.
 Working capital here is defined as current assets plus current liabilities excluding the cash, debt and the discontinued operations. Our net cash position that is cash lead to debt at the end of the fourth quarter of 2011 was $35.4 million an increase of $4.7 million compared to the third quarter of 2011. Significantly our net cash position decreased only $3.7 million compared to the fourth quarter of 2010 despite the following major deployments of capital during 2011.
 $16.1 million for stock repurchases $15.7 million for acquisitions and $8 million for CapEx. We also repaid $10.5 million of debt during 2011 although this had no effect on the net cash position while cash and debt were reduced in the same amounts.
 On Slide 25, we can see that our leverage ratio declined for the eighth consecutive quarter and now stands at 0.24 at the end of the fourth quarter of 2011. This ratio represents our total indebtedness divided by our consolidated EBITDA as defined in our credit agreements.
 Before concluding my remarks, I would like to give you a few additional details on our earnings guidance. As we noted in the press release issued yesterday, in the first quarter of 2012 we expect GAAP diluted EPS of $0.41 to $0.43. For the full year, the expected GAAP diluted EPS is $1.95 and $2.05. I should note that to the full year 2012, stronger U.S. dollar has the effect of decreasing our EPS forecast by approximately $0.06 and the higher effective tax rate in 2012 also has an unfavorable impact of $0.06.
 Looking at our quarterly EPS performance in 2012, we expect that the second quarter will be the strongest of the year based in part on the large systems and backlog which are scheduled to ship in that period. As always I should caution that there could be some choppiness and variability in our quarterly results due to a number of factors not the least of which is the timing of revenue recognition for larger systems orders in China.
 As we’ve noted in the past, revenue for these orders is typically recognized on the completed contract method and it is not unusual for customers in China for any number of reasons, we temporarily delay delivery of their orders and it isn’t going to materially affect our quarter-to-quarter results.
 We anticipate CapEx spending in 2012 will be $6 million to $7 million, which is higher than what we historically spend, but in line with 2011 largely due to ongoing efforts to substantially upgrade our manufacturing capabilities and our businesses in China. We expect the CapEx will return to more normal levels beginning in 2013 with the completion of these manufacturing upgrades.
 Our 2012 guidance includes approximately $0.28 per diluted share associated with our non-cash equity compensation expense compared to $0.23 in 2011. And finally we expect depreciation and amortization to be approximately $8 million in 2012.
 That concludes our review of the financials and I will now turn the call back to the operator for our Q&A session. Operator? 
Operator: [Operator Instructions]. And our first question comes from the line of Walter Liptak from Barrington Research. 
Walter Liptak: I wonder as far as Tom on your outlook understanding the full year and the first quarter but in the second quarter you mentioned strongest. Can you give us an idea of the revenue level sequentially from the first and then you also mentioned that a warning about some shipments could get delayed, or the strong shipments you are expecting in the second quarter going to China? 
Thomas O'Brien: I think the revenue levels in the second Walt looking at what we have in the backlog will probably be over $90 million. So you’re looking at guidance we gave kind of $82 million to $84 million jumping up to $90 million and then it will probably come down from there in the second half. 
Walter Liptak: Okay, got it. And are those large shipments to China? 
Thomas O'Brien: Well, those are large shipments in China. 
Walter Liptak: Okay. 
Thomas O'Brien: So we manufacture those systems in China for our customers in China. 
Walter Liptak: Okay. 
Thomas O'Brien: They are all qualifier as Tom mentioned about with - that we do it on completed contract and you might have a customer asset to be delayed from one quarter to another, certainly apply to those projections for Q2. 
Walter Liptak: Okay. And what about the mix of business in the second quarter, are those - what kind of gross margin are you thinking about based on those shipments? 
Thomas O'Brien: Well, overall the gross margins will be lower because we will have the larger proportion of capital in that quarter. So you kind of have to fit that into the total margin guidance that we gave, so it will be a little bit lower obviously in the second with that higher capital mix. 
Walter Liptak: Okay, got it. 
Thomas O'Brien: We may pick up some operating leverage on the SG&A as well. 
Walter Liptak: Okay and you mentioned the SG&A. I didn’t catch the percentage of sales that you are targeting for the full year? 
Thomas O'Brien: I think we said 30 to 31. 
Walter Liptak: Okay good and then -- I guess things can be pretty choppy out of China. You got Chinese new year and some tough comps, how quickly do you think your customers can turnaround if they start absorbing the capacity that’s been put in place in some of these - political initiatives to get the economy in China going again? 
Jonathan Painter: I guess I have a couple of comments on that Walt, one is that - currently there are lots of activity for people adding new OCC systems and we booked a couple in Q4. So it’s just a question of levels, but it’s not like there is still people planning expansion. We still have active talks on the projects.
 The other - I guess the other point I would make is that it’s - in our experience it’s probably the most, the region the world that is most responsive to government stimulus. I mean the last couple of rounds with China when the government turns on the switch it seems to have a pretty quick impact, so when we say we do expect to see bookings levels continue to grow through the year that’s kind of what that’s based on. 
Operator: [Operator Instructions]. I believe Mr. Walter Liptak has a follow up question. 
Walter Liptak: Okay, all right. I’m back. I want to ask about the M-Clean systems and just get an idea of some of the pricing for those as well as the other margins? 
Jonathan Painter: We don’t get into the margins of particular products. I think it’s the time that bought M-Clean. We did say it is a very good margin product and it continues to be a very good margin product. It’s one you’ve got a sense of our overall margins as one sort we’re sort of pleased to have as part. 
Walter Liptak: Okay. 
Jonathan Painter: A typical unit [indiscernible] varies depending on how many whether the pumping facility is separate and so forth, but you can probably get a sense of what we talked about that China order. We gave the number of beams and said around $4 million. So, it may give some sense of typical pricing. 
Walter Liptak: Okay, and you’ve mentioned the 40 quotes that are out there. What is - maybe you could talk about what the market opportunity you think is for the product and what it takes to convert those quotes into orders? 
Jonathan Painter: Yes, in North America we’re really introducing that for they had very little presence in North America, almost nothing. So, it’s a new product to this market and it does take a while obviously but we have got some references out there running 40 quotes I think is quite a strong level. I mean they are probably in the $100,000 range. I don’t - I wouldn’t want to project what number of those quotes actually turn into orders because often people do studies and so forth.
 In terms of the market I mean it depends on how you phase it but it’s the primary place that it would do well is in recycle systems - dirty recycle systems on like OCC mill. That happens to be an area where we are pretty strong. So I have good expectations for M-clean anything going forward. 
Walter Liptak: Okay. The other new product for the Sticky, I wonder if you could - you introduced that in China because that’s where they have got the biggest issue and the payback is quickest but is there a North American or European opportunity for it as well? 
Jonathan Painter: Yes I was probably not as clear in my comments as I could be. We’re manufacturing in the China but we’re introducing it globally. Absolutely it is being sold around the world. 
Walter Liptak: Okay. But you have got any orders in China so far? 
Jonathan Painter: We have got orders everywhere, in every market in the world. It’s now our leading, it’s now the leading screen cylinder that we go with. So we have got orders in Europe, North America, China, it’s been again just introduced in October but our overall basket bookings were up around 10% last year and FiberWall was part of that and really coming in late in the year. 
Walter Liptak: Okay, got it. 
Jonathan Painter: That’s another one that - yes it’s sticky. So the dirty OCC mills are the prime target for it. Those markets may be $140 million to $150 million. 
Walter Liptak: Okay great. And then looking at free cash flow, Tom, you guys did not shop on inventories especially at the end of the year on working capital accounts. Can you give me an idea of how you think free cash flow is going to trend through 2012? 
Thomas O'Brien: Well, a little bit of it depends on your definition of free cash flow. So I’ll give you one of them, and that is if we take net income from continuing ops in 2012, kind of in the midpoint of our guidance that would be about $23 million. And if we say the DNA is 8, the CapEx is 8 to those two kind of offset, and then really free cash flow ought to be equal to the net income from continuing ops which is the $23 million and that would compare again to maybe $26 million or so in 2011. 
Walter Liptak: All right, okay. Is there... 
Thomas O'Brien: I think that’s good cash flow, free cash flow in 2012. 
Walter Liptak: All right, okay. Is there any more that you can do on the - on any of the working capital accounts, inventories or receivables to take it up a little bit.. 
Thomas O'Brien: Yes. I mean we have obviously working capital was the use of cash this year, partly due to the strong increase in revenues. So hopefully while looking at the guidance that we would - I would say that it’s possible it would be a source of cash in 2012 and that may - that could actually boost that free cash flow number a bit from what I said. 
Walter Liptak: Okay. So the balance sheet, probably continues to improve with sort of flat EPS this year, I mentioned uses of cash will be continuation of share repurchase but how is the acquisition pipeline looking? 
Jonathan Painter: We are at -- we’re actively looking both inside and outside paper, obviously inside is a preference because I think we have more synergy opportunities but we continue to look - we’ve gone pretty far in a number of things and kind of ended up not doing it for one reason or another, but I would say it’s reasonably active. Nothing imminent though, I will tell you that. 
Walter Liptak: Okay. Are you looking at the water sector because that seems to be an area that you’ve done well with as a potential add-on on to the business? 
Jonathan Painter: We are looking at water. I’ll tell you per our mindset if you will that the water acquisitions often tend to be more expensive than we think is the right price. So that’s been an issue when we look at filtration type companies. We are also looking at just sort of increasing our product offering in more of a home grown method and you are right in noting that our water business has actually done pretty well and pretty well in places like China. 
Walter Liptak: Okay. Okay, great. With that, I will end it here and just take it offline on a private call. I appreciate your time. Okay. Thank you. 
Thomas O'Brien: Thanks a lot Walt. We as well. Bye bye. 
Operator: And there are no more questions at this time. I’d like to turn the conference back over to Mr. Jonathan Painter. 
Jonathan Painter: Thanks, Robin. In summary, as you can see our 2011 was an excellent year. We had a number of financial records both for the quarter and for the year. I think as we look into 2012, it will probably be more challenging but we do end the year with a good backlog, and as I mentioned earlier, if we meet our guidance for 2012, it will still be a very strong year really second only to 2011.
 I look forward to updating on our next quarter on our progress. Thanks very much. Bye-bye. 
Operator: Ladies and gentlemen; that concludes today’s conference. Thank you for your participation. You may now disconnect and have a great day.